Operator: Good day, everyone. Thank you for standing by, and welcome to the Xperi Fourth Quarter and Full Year 2024 Earnings Conference Call. During today's presentation, all parties will be in listen only mode. Following the presentation, the call will be open for the questions. I would now like to turn the call over to Catheryn Mallari from Xperi's Marketing and External Communications department. Catherine, please go ahead.
Catheryn Mallari: Good afternoon, and thank you for joining us as Xperi reports its fourth quarter and full year 2024 financial results. I'm filling in today for Mike Iburg, Xperi’s Head of Investor Relations, who is unable to be with us today. With me on today's call are Jon Kirchner, Chief Executive Officer and Robert Anderson, Chief Financial Officer. In addition to today's earnings release, there is an earnings presentation, which you can access along with this webcast on our Investor Relations website at investor.xperi.com. Before we begin, I would like to provide a few reminders. First, I would like to note that unless otherwise stated, all comparisons are to the same period in the prior year. Second, today's discussion contains forward-looking statements about our anticipated business and financial performance that are predictions, projections or other statements about future events, which are based on management's current expectations and beliefs and therefore subject to risks, uncertainties and changes in circumstances. For more information on the risks and uncertainties that could cause our actual results to differ materially from what we discuss today, please refer to the Risk Factors and MD&A sections in our SEC filings, including our most recent Form 10-K and 10-Q and our Form 10-K for the year ended December 31, 2024, to be filed with the SEC. Please note that the company does not intend to update or alter these forward-looking statements to reflect events or circumstances arising after this call. Third, we refer to certain non-GAAP financial measures, which are detailed in the earnings release and accompanied by reconciliations to their most directly comparable GAAP measures, which can be found in the Investor Relations section of our website. Lastly, a replay of this conference call will be available on our website shortly after the conclusion of this call. I will now turn the call over to Xperi's CEO, Jon Kirchner.
Jon Kirchner : Thank you, Catherine, and thank you, everyone, for joining us on our fourth quarter and full-year 2024 earnings call. We closed the '24 fiscal year on a strong operational note, making significant strides in our independent media platform strategy across the media platform, pay TV and connected car markets. From a financial standpoint, we are pleased with the progress of our business transformation and its impact on profitability as we navigate a challenging market environment across our core business. Robert will walk you through the details in just a moment, but let me first touch on a few financial highlights. Revenue in the quarter was $122 million up 2% from the prior year after adjusting for the divestitures of AutoSense and Perceive. Adjusted EBITDA was $23 million for the quarter or 19% of revenue compared to $13 million in the prior year quarter. This growth continues to demonstrate the progress of our business transformation efforts, which for the full year yielded an adjusted EBITDA margin of 15%, more than doubling year over year. From a balance sheet perspective, we finished the year with $131 million of cash and equivalents, which we believe provides solid operating liquidity as we look ahead. Also, we recently completed the refinancing of our $50 million of outstanding debt due this July through a new three-year facility. Looking forward, we remain focused on our three growth solutions where we see strong potential and differentiation. These are Connected TV advertising, where we offer our TiVo One monetization platform that monetizes ad supported viewing, viewership data and homepage engagement across smart TVs powered by TiVo and TiVo Video over broadband devices. In cabin entertainment, where DTS AutoStage combines radio, Internet metadata and video to enhance the automotive experience, while enabling long-term monetization through licensing fees, upselling features, advertising and data And TiVo Video over Broadband where we offer an industry leading content first streaming platform for our customers' IPTV linear video households as well as broadband-only households where revenue is primarily generated by monthly subscriptions. We expect each of these markets to continue to grow rapidly over the next several years. As evidenced by our progress during this past year, we believe we are increasingly well-positioned to grow our revenue as our footprint in these markets expands over time. Consistent with PaaS Communications, our multiyear goal is to drive meaningful revenue growth from over 20 million monetizable endpoints in home and in the car. We have now updated this slide to reflect progress through 2024. Breaking this down in terms of monetization, in homes across Europe and North America, our goal is a monetizable footprint of at least 7 million active devices, generating $170 million or more of revenue. Additionally, we increased our goal to over 3.2 million IPTV households contributing over $120 million of revenue. Lastly, we've increased our footprint goal on DTS AutoStage to over 15 million cars producing over $20 million in revenue. In summary, we expect that achieving these monetizable endpoint goals along with building out our monetization platform would enable Xperi to generate significant growth in ‘26 and beyond from these categories relative to 2024. Now let me walk you through some of our recent achievements that reflect our progress as well as outlining what steps we expect to take in 2025. For TiVo OS, we have now exceeded our goal of over 2 million activated devices across Europe with deployments in each of the five major countries of UK, France, Italy, Germany and Spain. Importantly, our partner Sharp Home Electronics Company of America started shipping TiVo powered TVs into the U.S. market at the end of 2024 and these TVs are now available at certain U.S. retailers. As an example, Sharp's QLED 4Ks 55 inches TV powered by TiVo can be found at certain retailers priced as low as $299. We also finished the year with eight TV partners with Thompson now named as our latest partner exceeding the year's goal of at least six. Notably, several of our partners are top 10 global TV manufacturers. We began to deploy our TiVo One ad platform during the quarter, which is our cross-screen ad platform for maximizing engagement and monetization on TiVo's independent media platforms, whether in the home or in the car. TiVo One is relevant not only on smart TVs powered by TiVo, but also on TiVo IPTV based video over broadband boxes, which are connected to and power the user interface of smart TVs. The two platforms are built on a common TiVo best in class experience and further offer the benefit to advertisers of being reachable through a common ad platform. This advances our goals of providing an extraordinary end user experience on smart TVs along with a highly scalable platform for our advertising and monetization partners as they look to engage with unique audience segments across our footprint, drive viewership, expand reach and seek flexible advertising solutions. Taken together, the combination of our footprint growth and harmonization of our smart TV and video over broadband footprint through the TiVo One ad platform is expected to set the foundation for monetization growth as we move through 2025. One important ad unit that delivers unique reach and brings a valuable presence is the homepage across connected TVs. Advertising clients recognize that the homepage is a key common and frequent touch point in the consumer entertainment journey as they seek to find, watch and enjoy the content they love. Overall, it was a positive quarter of execution for our independent media platform strategy and we look forward to beginning to turn the corner on monetization growth as we progress through the year. Our connected car business saw continued footprint momentum during the quarter. For DTS AutoStage, we now have a footprint of over 10 million vehicles, which exceeds our original goal of 7 million. Additionally, by adding a Japanese automotive brand in the quarter, we met our goal of three incremental DTS AutoStage design wins, including one that included video service powered by TiVo. Several new models of AutoStage launched in the quarter from six brands including BMW, Hyundai, Mercedes and Nissan. In our HD Radio business, our technology is now implemented in more than 110 million vehicles with penetration approaching 60% of new vehicles in North America. In the quarter, more than 15 automotive brands launched new model lineups with HD Radio, including Mercedes Benz, Aston Martin, Hyundai, Toyota, Honda, Audi and Tesla. Additionally, during the quarter, we signed several DTS Audio multiyear minimum guarantee agreements, ensuring the use of our technology over the next several years. Within the PayTV business, our Video over Broadband or IPTV solution continues to make steady progress, ending 2024 with 2.6 million IPTV subscriber households, exceeding our year-end goal of 2.4 million. We signed seven new TiVo broadband customers in the fourth quarter of 2024, exceeding our goal for the year and bringing the total number of operators committed to our broadband-only solution to 20. This growth in IPTV subscribers and its related revenue helped to offset the secular decline from our core pay TV solutions. Turning to consumer electronics, we closed several long term DTS renewals with our customers, including HARMAN and Yamaha. These illustrate the durability of our core audio technologies even in an environment where there is meaningful macro uncertainty. Additionally, at CES 2025, DTS Clear Dialogue won three technology and innovation awards from industry leading publications. We are well underway with commercialization efforts with OEMs, while building the IC ecosystem to support the rollout of the product. We have accomplished a lot over the past year in terms of building critical footprint across our growth segments, either meeting or exceeding all key platform growth milestones communicated at the beginning of the year. We believe these milestones are validation of our independent media platforms value proposition to our customers and further demonstrate how Xperi is working to enhance the way people discover, watch and enjoy their favorite content in the home and on the go. In addition to driving footprint growth, our focus going forward will be to activate TiVo One, our connected monetization platform across smart TVs, video over broadband devices and connected cars. As we turn to '25, let me provide a few business metrics we will be using to gauge our progress this year. Thus far, our focus has been on gaining critical mass in terms of initial footprint and hence we provided the number of activated devices defined as new users initiating first use of the platform. Going forward, our focus will turn to monetizing this footprint, so we will soon start reporting active users connected to our TiVo One advertising solution defined as users that have been active by engaging at least once with our platform over the trailing 30-day period. With this background, we aim to achieve the following goals as we exit 2025. In media platform, we have three primary goals: drive more than 5 million active TiVo One devices across Europe and North America exit the year with an average ARPU above $10 and sign at least two additional smart TV partners, bringing our total to 10. In pay TV, our goals are to activate TiVo One across the North America video over broadband footprint and exit the year with at least 3 million IPTV subscriber households. In connected car, we target to exit the year with a DTS AutoStage footprint of over 13 million vehicles and to initiate monetization on certain AutoStage vehicle platforms in North America. By delivering on these goals, we expect to generate meaningful revenue growth from media platforms, connected car and IPTV in 2025. For this year, we anticipate this growth will be offset by declines in our core business. However, due to continued business transformation efforts, we expect improved profitability and cash flow. As we turn the corner on our expected larger monetization footprint exiting 2025, we anticipate media platform growth to outpace core business declines, resulting in meaningful top line revenue growth, continued margin expansion and increased cash flow. With that, I will turn the call over to Robert to discuss our financials. Robert?
Robert Andersen : Thanks, Jon. I'll be covering two main areas during this call. First, I'll go through the financial results for the quarter and the year, including commentary on the results. Second, I'll provide financial outlook and commentary for fiscal 2025. Beginning with the quarter's results, total revenue for the fourth quarter was $122 million down 11% from last year's $137 million but up 2% when adjusting for the AutoSense and perceived divestitures. PTV, our largest revenue category, was down 8% as strong growth in IPTV, which was up 35%, was more than offset by a decline in our core pay TV business, partly due to the timing of certain revenue in the prior year's fourth quarter. Consumer Electronics was up 2% when excluding the proceed and AutoSense divestitures. This growth was due in part to year over year strength in unit volumes for game consoles. Connected Car was up 9% as reported and up 42% when excluding the divested AutoSense business from the numbers. This significant underlying growth was due to certain minimum guarantee deals for the legacy audio technologies that were closed in the quarter, for which the company recognizes most of the revenue upfront. Media platform was down 15% due to a year over year decline in a large linear ad campaign buy from a repeat customer whose budgets changed due to market conditions as well as certain minimum guarantee deals associated with our middleware products in the prior year period. For the full year 2024, revenue was down 5% as reported, but essentially flat year over year when excluding the AutoSense divestiture. Looking at the year over year trends, in PayTV, we saw overall growth of 6% due to continued expansion in IPTV as expected, coupled with better than expected revenue in core pay TV from several multiyear agreements signed during the year for which revenue was recognized upfront. Some of these agreements relate to certain segments of our historical guides business where the opportunity existed to lock in meaningful value and certainty. Consumer Electronics was down 27% excluding the AutoSense and related divesture. This decline was inline with expectations due to the revenue recognition of certain multiyear minimum guarantee renewals that occurred in 2023. Connected Car was up 29%, excluding AutoSense, due to several multiyear DTS audio agreements during the year, along with growth in the HD Radio business. Media Platform was down 17% year over year, primarily due to a decline in linear TV advertising revenue from a unique initial ad buy in as well as middleware revenue from minimum guarantee agreements, both of which occurred in 2023. Further, Media Platform received little benefit from monetization revenue during the year due to partner delays that impacted our footprint in 2024. Late in the year, these issues were eventually addressed and we now have achieved our goal of 2 million activated devices. Before proceeding to the income statement, I'd like to take a moment and provide a revenue view of 2024 that accounts for the divestiture of Perceive, which occurred at the very beginning of the fourth quarter. In the accompanying presentation, the top table shows our revenue by market as reported. The bottom table shows numbers that remove the Perceived revenue of approximately $5 million that was reported within the consumer electronics category. These adjustments create a baseline for 2024 revenue of $488 million which we will use for relative comparison purposes as we post revenue numbers during 2025. Turning now to the income statement. Our non-GAAP adjusted operating expense for the quarter, excluding cost of revenue, was $78 million down $20 million or 20% from the prior year, primarily due to personnel savings from business optimization efforts and also from cost reductions from the divestitures. Our adjusted EBITDA was $23 million resulting in an adjusted EBITDA margin of 19%. After accounting for tax and interest expense, our non-GAAP earnings per share was $0.39. Non-GAAP tax in the quarter was $1 million which was lower than planned due to a valuation allowance reversal during the quarter at one of our European subsidiaries. For the full year, adjusted EBITDA was $74 million or 15% of revenue, more than doubling last year's adjusted EBITDA margin. Turning to the balance sheet, the company ended the year with $131 million of cash and cash equivalent. With the $58 million cash increase in the quarter being driven by $68 million of proceeds from the sale of Perceive in October, balanced by $10 million of common stock repurchases that were executed in the quarter. For the full year, the company repurchased $20 million worth of common stock for 2.2 million shares at an average price of $9.23. As John noted earlier, we recently completed a financing arrangement with PNC Bank for a $55 million line of credit backed by our accounts receivable assets. This line has a three-year term with our borrowing rate is currently one-month SOFR plus 190 basis points. Assuming all borrowings accrue interest at the current SOFR rate, along with the amortization of upfront costs related to setting up the arrangement, we currently expect our all-in borrowing rate of approximately 7.5%. With the completion of the financing, we paid down our existing $50 million of debt with $10 million of cash and $40 million from the new receivables backed line. Looking at operating cash flow for the year, we had a usage of $55 million consisted with our updated guide for the year. Moving now to our outlook for 2025, we are providing the following information and commentary. We expect full year revenue to be in the range of $480 million to $500 million. At the midpoint, this represents level to possibly modest growth over a normalized 2024. Revenue is expected to have a slightly heavier weighting toward the back half of the year relative to 2024, with Q1 being the lowest quarter of the year. Within the markets we serve, we expect significant growth in media platform from an increase in advertising revenue from the expanding TiVo OS and connected TV footprints. We expect consumer electronics and connected car to be relatively consistent with 2024 due to broader macroeconomic uncertainty. Lastly, we expect a year over year decline in pay TV revenue as growth in IPTV is expected to be more than offset by core pay TV revenue decline due to industry declines and the impact of multiyear Classic Guide to minimum guarantee arrangements that occurred in 2024. For adjusted EBITDA margin outlook, we expect a range of 16% to 18%, up from 2024 due to cost transformation work and the positive impact of divestitures that were completed during 2024. For the year, we expect operating cash flow to be slightly positive. On other items, we expect non-GAAP tax expense to be approximately $20 million and capital investments of approximately $20 million. Also, from a GAAP perspective, we expect stock-based compensation expense for the year to be approximately $50 million down meaningfully from 2024. Basic and diluted share count is expected to be approximately $46 million. That concludes our prepared remarks. Let's now open the call for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. Your first question comes from the line of Jason Kreyer of Craig Hallum. Your line is now open.
Unidentified Analyst: Great. Thank you. This is Cal on for Jason. Maybe to start, good to see you guys hitting the sort of the footprint goals that you had laid out. So, I guess just looking ahead, how do you think about with TiVo OS in particular, how do you think about balancing adding new OEM partners versus growing more volume and getting more activated devices with your existing partners?
Jon Kirchner: I think we certainly intend to do both, Cal. The first couple of quarters of experience with these partners is that they are getting good feedback on the units from a customer satisfaction and use perspective. And so, I think we will continue to work to expand, let's call it, share of production with our partners. But at the same time, we still have a pipeline of others that we are working with that have an interest in potentially joining the platform and I think that will be just incrementally positive as we look to ramp particularly over the next year or two to an even bigger and broader footprint.
Unidentified Analyst: Great. And then maybe to follow-up, just kind of looking at the TiVo One platform that you guys are talking about in the rollout, just kind of wanted to get some high-level thoughts on how you're thinking about ARPU, how you're thinking about the trends that you're seeing early on in North America versus Europe. And getting to that greater than $10 in ARPU figure, how much of that is dependent on scaling more North American devices that likely have a higher ARPU profile versus some of the European footprint that you already have in market?
Robert Andersen: Fair question. I think naturally it will be a combination of both. I think we start out the year at lower ARPU numbers and I think it will ramp through the year as we said looking to exit north of $10. I think one of the things to appreciate about the TiVo One ad platform is that it's a common platform and as we have begun to roll out that backbone onto our video broadband devices, you instantly have a U.S. footprint that is actually tied into the same network. So, a way to think about the universe of addressable units to drive ultimately ad monetization is it's a combination of TVs with TiVo OS, which at this point are heavily Europe centric, coupled with video over broadband based boxes connected TVs that are also powered by that TiVo One interface. And one of the things we know about our various video over broadband customers is that they watch naturally a lot of TV. So, there's going to be a fair amount of use. And I think it's the combination of those two things that actually allow us to not only have confidence as the footprint grows, but to be able to benefit from, let's call it, the more robust ad market in the U.S. Coupled with what is emerging and growing of course in Europe and different territories.
Unidentified Analyst: Great, thank you guys.
Robert Andersen: Thank you, Cal.
Operator: Your next question comes from the line of Stephen Frankel of Rosenblatt. Your line is now open.
Steve Frankel: Good afternoon. John, last quarter you spoke about some TiVo OS smart TVs that where the launches were delayed pushed into 2025 from the end of last year. Could you update us on your insights into the timing of those shipments now?
Jon Kirchner: I think we have certainly made up some ground, Steve. Some of what we expected to happen, let's call it in late summer and early fall began to happen more robustly, right, as we approach the end of the year. And so, as we sit here today, I think we have got a fairly clear line of sight on a number of partners ramping up into the spring and of course starting here in the U.S. With Sharp, where they actually began some shipping to the U.S. in December, but those units effectively became available here in the U.S. in February.
Steve Frankel: Okay. And then appreciate the year-end growth or goals that set up some accelerated growth in 2026, but what's most important for us to watch as we go through the year? Is it that the ability for TiVo One to drive growth to the media platform business? Is that the critical variable of your success?
Robert Andersen: Absolutely. I think over the coming quarters, and it will there's no doubt it's back half weighted, but we'll see it start to emerge as well as I think you can begin to look at active users on the platform. Because it's the combination of how that number ultimately translates to viewership hours, which in turn takes you towards the monetization path and our ability over time to continue to work to optimize that. There is a fair amount of optimization that will occur even on an existing platform of $2 million over time as you are working things out to drive the most and best possible experience balanced with monetization. But I think those two things are continued footprint slash active user growth as well as beginning to see that monetization emerge I think are the key things, because I think it will demonstrate that it's taken a ton of work to get where we are with a footprint and an ecosystem etcetera that can begin to turn the crank on monetization and it will begin to show here as we work our way through the year.
Jon Kirchner: Yes. Steve, maybe to put an additional point on that. We expect with active users as John described and the ARPU numbers that we have laid out, we expect each of those metrics to go sequentially quarter over quarter and our goal is to exit 2025 with more than 5 million active users and as we mentioned on the call, an average ARPU of over $10.
Steve Frankel: Great. And the IPTV base today, is this only being monetized in the traditional way with things like local ad breaks or are some of your customers using maybe other ad networks or other vendors to monetize these eyeballs today?
Jon Kirchner: I would say only in more of a traditional context, Steve, and I think we've been able to and part of what we have designed with our video over broadband solutions is the notion that it would ultimately connect into a common ad platform that would give us more flexibility around streaming and homepage-based advertising. And so, I think as we're updating operators and units in the field that installation base in the U.S. is coming online and that allows us to begin to leverage the benefit of the TiVo One ad platform.
Steve Frankel: And is the rev share there between you and the operator similar to what you are doing with the TV manufacturer or do you have a different set of economics in this market?
Robert Andersen: I would say, I mean, certainly there are some differences, Steve. But I think big picture, they are not material as one thinks about our ability to generate meaningful amounts of U.S. based ARPU off these respective with these respective partners while obviously making it worth their while as well.
Steve Frankel: Okay. Thank you so much. I'll jump back into the queue.
Operator: Your next question comes from the line of Hamed Khorsand of BWS Financial. Your line is now open.
Hamed Khorsand: Hi. I was just wondering last time last earnings call your tone was about negative end markets and some not so great clarity. You don't have that commentary today. How much has the market changed for you? How much clarity you have now that your commentary is a lot much different?
Jon Kirchner: Well, I think some of the uncertainty that existed before still existed. Let's just say it's more evenly distributed in terms of awareness, things like tariffs, some of the geopolitical macro stuff and how it impacts, I think there's still some question I'd say. But that being said, I think we've moderated our expectations as we've set guidance range as we think about '25. So, no need to continue to hammer on that recognizing it all exists. But I think as always, right, we learn a little more as we get through Q4 and we talk to our partners about plans for 2025. And as we have gotten not only more of that information, but I think we have made more progress. I think we have landed at least in a world of handicapping the risks as well as coming up with the guidance range and what we think is achievable. Obviously, we will see how things go in that uncertainty whether the environment further improves in ways that benefit our customers primarily because that's where the revenue is flowing from or if it just stays, let's call it, neutral to where it is today or gets worse, in which case we'll some of that we've accounted for as we think about the range of outcomes. And we'll take it one step at a time, but obviously, we're all trying to both understand and navigate as best we possibly can.
Hamed Khorsand: Okay. And then looking out to '25, these goal of adding two more TV OEMs or partners, how far along are you on those? Is that a possibility of becoming a source of new revenue or is that purely just the timing of adding new partners?
Jon Kirchner: I think we are I think it's fair to say we've got a pipeline in various stages, some of which is pretty well advanced. And for the stuff that's more advanced, if it gets worked out, it's certainly conceivable that it would have some footprint impact in the course of the back half of '25. But again, the pipeline is more than just stuff that, let's call it, is towards the end of that funnel. We've got other discussions that are earlier stage. So, and stuff tends to move around as people see our progress. I think one of the things I can say quite definitively is we have both made and demonstrated significant progress now across a wide base of partners and that helps others have not only more confidence, but ultimately potentially look to us as a very viable and attractive alternative in the marketplace as they look to continue to build better business models and ultimately bring the best possible solution to their customers.
Hamed Khorsand: Okay. And then Robert, is 2025 going to be a free cash flow positive year and are you willing to provide any metrics around that?
Jon Kirchner: Well, what we guided specifically on the call is slightly positive operating cash flow. I think if we finish at maybe the top end of our expectation or have a good year from a cash flow perspective, that could turn free cash flow positive, but I wasn't at the comfort level to guide that specifically.
Hamed Khorsand: Okay, thank you.
Jon Kirchner: You’re welcome. Thanks, Hamed.
Operator: Your next question comes from the line of Matthew Galinko of Maxim Group. Your line is now open.
Matthew Galinko: Hi, good afternoon. Thanks for taking my questions. Can you talk about maybe the steps to rollout TiVo One? Is there significant negotiation that has to happen with the existing OEMs? Or is there execution on pushing new software to the existing TVs? Just maybe talk operationally about what that entails?
Jon Kirchner: Well, I would say, first, that it's something we have been working on now for quite a while with a vision of how to, if you will connect together various endpoint devices across home and car. So, the advent of the vision around the platform and how it could be used to address unique audiences for advertisers, I think has been quite thoughtful. I think that, of course, will continue to evolve like all software as we look to make it more robust and valuable. We are in the process in different ways of deploying it and depending on where, let's say smart TVs were in their original release point, you may have some TVs that went out before some of the updates were available for this and so they're being updated as we speak. And I think we have a lot of experience with working with our partners to get those updates done. And similarly, in some of the IPTV video over broadband areas, there are updates happening there as well to ensure that we can tie into the various aspects of the things we think that will be most valuable for consumers as well as what we're trying to do monetization wise. So, I would say it's fairly ordinary course in our world anyway of building software and ultimately getting it updated. Yes, there are requires action beyond just our own obviously working with partners, but I think we have a pretty well-defined process that's technically really robust on how to get it done across the different categories of products over time.
Matthew Galinko: Got it. Thank you. And then can you -- do you have any maybe just updated thoughts on what the competitive environment is in media platform as you're looking to onboard new OEMs? What are you seeing?
Jon Kirchner: Well, I think the environment remains quite competitive in part because the size of the prize is extremely valuable. And so, I don't think we're seeing any less competition. I think there are significant barriers of entry to new entrants. I think we have crossed those barriers, I think quite clearly at this point with a number of not only partners, but demonstrating the quality of the UX platform, search and discovery, all of the things that we brought to the game because of decades of experience in the business. So, I think the competitive landscape will continue to play out, but I think the combination of our product with our business model, which is about highlighting our customers' TV brands, allowing them to participate in the long tail of revenue, having a direct customer relationship, being content first and neutral from an independent media platform perspective. All those things will continue to resonate. So, does that mean it's easy? No, of course, it's very difficult. We're dealing with very large competitors. But I think the strategy that we laid out a few years ago, as well as our confidence that we ultimately could run this broader play is in fact working well. And I think the most exciting part of it for us is that you can't begin to see monetization revenue until you start to have footprint of the rest and we accomplished a lot in ‘24 and we'll begin to see that we'll turn in ‘25. And as the concentration, if you will, or the size of the installed active user base grows, I think it only creates more opportunity through that scaling and network effect. So more to -- obviously more to follow and observe about how the competitive landscape may evolve, but I think at the current time, I don't think we see a lot of difference.
Matthew Galinko: Thank you.
Operator: That concludes our Q&A session. I will now turn the conference back over to Jon Kirchner for closing remarks.
Jon Kirchner : Thanks, operator, and thanks everyone for joining today's call. We are excited about the growth potential for our independent media platform business across home and car over the longer term and are pleased with the improving profitability performance of our business as we navigate the current environment. I would like to thank our employees for their continued commitment to our business transformation and hard work toward realizing our strategic goals. We look forward to reviewing our Q1 results with you in May. And operator, this concludes today's call.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.